Operator: Good morning, and thank you for standing by. My name is Kelvin, and I will be your conference operator today. At this time, I would like to welcome everyone to the Seadrill Limited fourth quarter and full year 2024 earnings call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question and answer session. Telephone keypad. If you would like to withdraw your question, please press the pound key or star two. Thank you. I would now like to turn the call over to Kevin Smith, Vice President of Corporate Finance and Head of Investor Relations. Please go ahead.
Kevin Smith: Welcome to Seadrill Limited's fourth quarter and full year 2024 earnings call. I'm Kevin Smith, Vice President of Corporate Finance and Investor Relations. I'm joined today by Simon Johnson, our President and Chief Executive Officer, Samir Ali, Executive Vice President and Chief Commercial Officer, and Grant Creed, Executive Vice President and Chief Financial Officer. Our call will include forward-looking statements that involve risks and uncertainty. Actual results may differ materially. No one should assume these forward-looking statements remain valid later in the quarter or year, and we assume no obligation to update them. Our filings with the US Securities and Exchange Commission provide a more detailed discussion of our forward-looking statements and the risk factors affecting our business. During the call, we will also reference non-GAAP measures. Our earnings release furnished to the SEC and available on our website includes reconciliations with the nearest corresponding GAAP measures. Our use of the term EBITDA on today's call corresponds with the term adjusted EBITDA as defined in our earnings release. I'll now turn the call over to Simon.
Simon Johnson: Hello and thank you for joining us on our quarterly conference call. Today, I'll cover recent achievements, market outlook, and operational updates. Samir will then discuss our commercial activity and outlook, and Grant will review our financial results and 2025 guidance. In 2024, we delivered against our EBITDA guidance range, returned over $500 million in capital to shareholders, and $1.3 billion in contracted backlog, and divested non-core assets for cash proceeds of approximately $400 million. Our share repurchase program has returned a total of $792 million to shareholders through the end of the year. During the fourth quarter, we repurchased $100 million of shares and reduced our issued share count by 22% since the commencement of the program in September 2023. In December, we announced two long-term contract awards in Brazil, commencing in 2026, adding $1 billion in backlog. And we sold jackup rig West Prospero for cash proceeds of $45 million, monetizing a non-core asset that had been cold stacked for eight years, at a favorable valuation compared to recent sales by our peers. This marks the completion of our exit from the benign jackup market. Moving to market outlook, as we consider the current landscape, demand deferral is showing up in near-term rig availability, leading to a softening market in 2025 with some trade rivals offering lower day rates. Our view is unchanged. Depleting resources require investment, and deepwater provides some of the most advantaged and profitable projects with the lowest carbon emissions intensity. We expect future demand to increase, but visibility is unclear. We've approached about volatility on many previous occasions and believe we remain well-positioned to navigate the downside and capitalize on the upside. We have a strong balance sheet, and our marketed fleet is 75% contracted for the calendar year 2025. We also benefit from $3 billion in durable contract cover that extends meaningfully through 2028 and into 2029. Turning to operations. Starting in Brazil, the West Rio and West Polaris commenced their initial contracts with Petrobras on December 20 and February 18, respectively. The West Auriga commencement date was consistent with previous guidance, while the West Polaris was impacted by the commissioning and testing of upgraded systems. In connection with the West Polaris contract commencement, we're pleased to have delivered the first next-generation managed pressure drilling system to Petrobras, which enhances key elements of MPD. We're already seeing strong interest from multiple clients for this time-saving technology, as Seadrill Limited continues its thought leadership in managed pressure drilling. We've also upgraded the power management and dynamic positioning system on the REAP, closing the gap with seventh-generation drillship capabilities. The West Telus incurred 50 days of downtime during the first quarter responding to regulatory matters. This marks the sixth regulatory delay for a drilling rig in Brazil in the last six months. We are working closely with our clients and industry bodies to understand and navigate new regulatory expectations. In the US Gulf, the West Neptune continues to deliver after ten years of continuous partnership with ELO and is fully contracted into 2026. The rig recommenced drilling on February 16 following the completion of its SPS and upgrades. The timeline was impacted by vendor issues and adverse weather. I want to emphasize that we don't take the challenges encountered and their inconvenience to our customer lightly, and our teams are addressing these issues. The West Vela continues to build on its proven track record for reintegration into our fleet, having drilled its most recent wells significantly ahead of schedule. Given the exceptional operational delivery, the rig secured additional work at a strong rate. While some like to focus on specifications, it is increasingly clear to us that our customers prefer performance. While we've incurred an uncharacteristically high amount of non-revenue days to begin 2025, this is not reflective of our historical performance, and all of the contributing units are back in operation. Before moving on, I'd like to take a moment to recognize the West Jupiter, which was awarded 2024 Rig of the Year within our fleet. The award is a testament to outstanding performance against numerous QHSE operational and financial metrics. We ended 2024 with a total recordable incident frequency rate that was nearly 20% below the IADC average. And our safety performance is trending favorably as we begin 2025. I want to thank our offshore crews for continuing to improve outcomes in this fundamental aspect of their business. Finally, I wanted to comment on a few legal matters. In January, Seadrill Limited received notices from Petrobras asserting penalties against the Seadrill Limited subsidiary in Brazil. The alleged penalties arise from contracts awarded in relation to the Sete Brazil project dating back to 2012. Under this contract, three drillships were to be constructed by Sete and operated by Seadrill Limited for Petrobras. The construction of these rigs was never completed. Sete has since been declared bankrupt, and Petrobras' actions during the Operation Car Wash scandal were a contributing factor to the failure of Sete. Sete recently filed a lawsuit directly against Petrobras relating to the collapse of the project. We understand that Petrobras issued similar notices to multiple local Brazilian drilling contractors and the European peer who also participated in the Sete project. The amount claimed by Petrobras is approximately $213 million in delayed penalties, with potential for further assessments over the remaining term of the drilling contracts for the three Sete drillships. These contracts limit aggregate penalties to 10% of the total estimated contract value as defined in the contract. Petrobras has indicated that it may attempt to set off its claims against certain amounts payable to our subsidiary under existing contracts for five of our drillships operating in Brazil but has not done so to date. We're engaged in discussions with our clients to suspend the penalties. We are evaluating all options, including potential counterclaims against Petrobras. This matter is in its early stages, and we intend to vigorously defend our position. Earlier this month, the Norwegian court awarded the owner of the Hercules, a rig that we managed from 2008 to 2022, $48 million inclusive of penalties and interest relating to our redelivery of the rig. We disagree with the court's findings and will appeal the decision. As we move into 2025, Seadrill Limited will continue to be a flexible and agile organization that can quickly pivot during periods of market volatility. We have demonstrated that we will act decisively on stacking decisions, as evidenced by the cold stacking of the West Phoenix. And we endeavor to remain disciplined stewards of shareholder capital with a continuous focus on optimization of our cost base. We have a proud record of executing on our declared objectives. With that, I'll turn the call over to Samir.
Samir Ali: Thanks, Simon. I'll start by reviewing our recent contracting activity before providing an update on the market. Seadrill Limited has captured a disproportionate share of the global backlog awarded since our last earnings call, securing approximately 65% of the backlog awarded to the four largest publicly traded offshore drillers while only representing 18% of the drillship fleet operated by this group. This is an incredible achievement given the contracting environment over the past months. In the US Gulf, the West Vela is currently working for Talos, having drilled its most recent well ahead of schedule, which would have led to a contract completion in July. Due to the exceptional operating performance, the rig secured 40 days of incremental work, adding $20 million of backlog, keeping the rig operating into September. We remain very optimistic the rig will book additional work given its proven track record. The Sevan Louisiana secured additional work with Walter Oil and Gas, keeping the rig working until June. And in Brazil, the West Jupiter and the West Telus were each awarded three-year contracts with Petrobras commencing in 2026. These fixtures provide incremental backlog of $1 billion and a mobilization fee exceeding $70 million. Importantly, these awards provide visibility into our earnings in 2026 and beyond. Moving to the market, we continue to see a slow pace of contracting in 2025, tied to capital discipline and supply chain constraints. We were the first to suggest the potential for white space, and we continue to think it will persist through this year and into 2026. There are around 30 floaters available or coming available globally in 2025 without a firm contract. While many of these rigs will find follow-on opportunities, the absence of visible demand continues to soften the market. Drillship marketed utilization, a measure of market tightness, now hovers in the mid-eighties, down from the high nineties in 2023. We believe it will continue to trend lower throughout the year as more assets become available. Fortunately, we are relatively insulated. We benefit from having approximately 75% of available rig days contracted across our marketed fleet in 2025, and we are working to book contracts with the remaining capacity. I'll now briefly touch on the outlook for the rigs with availability for the remainder of the year. Starting with the Sevan Louisiana, as we have previously indicated, recent contracts suitable for the rig's specification have been both short in their lead times and duration. However, we are in advanced dialogue to keep the rig working when it becomes available next. West Capella recently finished its highly successful drilling campaign in Korea. The rig remains one of the few MPD-equipped assets in Southeast Asia, and we are pursuing several short-term opportunities starting midyear. However, we are prepared to make the hard decisions if we do not have line of sight to additional work. Moving to the three rigs we operate through our Sonadrill joint venture, West Gemini, the Quenguela, and the Libongos all become available in 2025. In Angola, we're already seeing the impacts of competition for capital across customers' global portfolios. Demand in the country is facing headwinds. However, due to our advantageous relationship with our JV partner, we believe we have a competitive edge for near-term opportunities. We see incremental demand in 2026 and beyond as operators return to the country and West Africa more broadly. As we navigate this market, we're focused on securing work where we have uncommitted capacity and we'll remain disciplined in managing our fleet. Although demand has shifted to the right, it reinforces our conviction in the durability of the current cycle. We are pleased to report $3 billion in backlog and a $700 million net increase to our previously reported numbers in the period when many of our peers are experiencing backlog erosion. And with that, I'll turn it to Grant.
Grant Creed: Thanks, Samir. I'll now summarize our full-year results and review fourth-quarter performance before providing full-year guidance for 2025. For the full year 2024, we delivered $378 million of adjusted EBITDA on $1.4 billion of revenue. Capital expenditures were $118 million. Adjusting for the disposal of the Qatar jackup fleet, we delivered adjusted EBITDA within the guidance range previously provided. Turning to fourth-quarter performance, as anticipated, results were adversely impacted by a reduction in operating days, planned out-of-service time, and costs associated with contract preparations and upgrades. Total operating revenues were $289 million in the prior quarter. The decrease primarily relates to fewer operating days attributable to the West Neptune, which began planned out-of-service time for upgrades in November, the cold stacking of the West Phoenix following its contract completion in August, and the West Vela and West Capella, which achieved fewer revenue days. Fourth-quarter total operating expenses were $323 million, up from $307 million in the prior quarter. The sequential increase is largely attributable to an increase in merger and integration expenses related to the handover of the final two Aquadrill rigs. The reintegration of these drillships into the Seadrill Limited fleet marks an important milestone for the company, eliminating costly and complex management fees, and exceeding synergy targets of $70 million per annum ahead of the staged timeline. SG&A expenses were $31 million, a quarter-on-quarter increase of $4 million pertains to adjustments to year-end following a reduction in force completed in November as we continue to take steps to reduce our costs. Moving on to the balance sheet and cash flow statements, we continue to maintain a strong balance sheet and sound capital structure. At year-end, gross principal debt was $625 million, and we held $505 million in cash, including $27 million of restricted cash, resulting in a net debt position of $120 million. Cash flow from operations was $7 million for the fourth quarter, which includes $94 million of outflows for long-term maintenance CapEx. Investing cash flows included capital upgrades of $38 million. And notably, we also received $45 million in cash proceeds following the sale of the West Prospero in December. In the fourth quarter, we continued our share repurchase program, completing $100 million of share repurchases under our current $500 million authorization. Since initiating our share repurchase program in September 2023, we have returned a total of $792 million to shareholders through the end of the fourth quarter, reducing issued share count by 22%. And now on to our outlook for the year ahead. The operational updates highlighted earlier in the call by Simon will adversely impact first-quarter and full-year 2025 EBITDA by approximately $55 million. Importantly, these matters are now behind us. We anticipate total operating revenues between $1.3 billion and $1.36 billion, which excludes reimbursable revenues of $35 million. We anticipate adjusted EBITDA in the range of $320 million to $380 million, with full-year capital expenditures in a range of $250 million to $300 million. I'd like to take the opportunity to provide some insight into the assumptions underpinning the guidance ranges provided. First, I'd like to highlight the midpoint of our 2025 revenue guidance includes $1.2 billion or approximately 90% of contracted backlog. Any additional backlog for Capella beyond completion of the recent contract in Korea would be incremental to the midpoint of guidance. And we continue to characterize Sevan Louisiana as a "show me" rig, forecasting revenue only when we have clear line of sight. Additionally, full-year 2025 adjusted EBITDA includes a non-cash net mobilization expense of $27 million. And finally, turning to CapEx, the guidance range provided includes some rollover CapEx from 2024 into 2025, and $20 million of long lead items following the recent contract awards for West Jupiter and West Telus ahead of their 2026 contract commencements. The actions we have taken today provide a solid platform to protect against market volatility. We closed 2024 with a robust balance sheet and strong cash position. Recent contract awards have added durable backlog at favorable margins that will benefit earnings and cash flows beginning in 2026. And with that, back to you, Simon.
Simon Johnson: Thanks, Grant. In closing, we are proud of what Seadrill Limited accomplished in 2024. It was a year in which we saw four drillships reintegrated into our fleet, the rationalization of our benign jackup assets, including the sale of the Qatar rigs and the West Prospero, and the delisting of our shares on the Oslo Stock Exchange. We have executed our strategy to be a pure-play floater company with the right rigs in the right regions. We've increased our net backlog by delivering superior performance and operational innovations. We have a robust backlog, both in terms of total amount and profile through time. We remain focused on delivering safe and efficient operations to our customers and look forward to 2026 when we will see the benefit of contract repricing. Thank you to our dedicated employees, onshore and offshore, for your commitment to excellence that continues to drive us forward. Thank you to all of our valued customers, trade partners, and shareholders for your continued support. With that, we'll open the line for questions.
Operator: As we enter the question and answer session, I advise that you please limit your input to one question and one follow-up. If you would like to withdraw your question, please press the pound key or star two. Your first question comes from the line of David Smith of Pickering Energy Partners. Please go ahead.
David Smith: Hey. Good morning. Thank you for taking my call. My question is, any color you can provide on the 50 days of downtime in Q1 for the Telus? Was there an incident, a stricter interpretation of existing rules, or something else? And is there anything you're seeing among the other impacted rigs that you could proactively address to minimize the potential for additional regulatory NPT in Brazil this year?
Simon Johnson: Yeah. Thanks, Dave. Simon here. We did, in fact, incur 50 days of downtime on the West Telus. The rig's back in operation now. Regulatory environments, by their very nature, are dynamic through time. So rules haven't changed, but rather the regulator's interpretation of the rules. We were able to recover quickly, but getting clearance was a much more protracted process in terms of the to and fro. So we're working with our clients and also the regulatory bodies to understand and navigate these new regulatory expectations.
David Smith: Okay. Appreciate that. And I wanted to circle back to the litigation issues from the prepared remarks. I wanted to make sure I heard right if that claim from Petrobras related to the Sete rigs was $213 million. And if so, I wanted to ask if this is an entirely new claim. Have similar claims related to the Sete rigs come up in the past, just recognizing this was from a very long time ago? So wondering if there's any relevant historical context here.
Simon Johnson: Well, we were as surprised as you are, Dave. As mentioned in the prepared comments, there are caps in the drilling contracts that limit the penalties to 10% of the contract value. Each of the contracts for the three Sete rigs were 15-year terms and valued around about 5 billion reais per rig at the time of execution. Because of the ongoing nature of the dispute, we can't provide any more additional information at this time. We're in the early stages of understanding what it means, and we intend to look at all possible defenses to these claims, including wherever that might take us. So yeah, we're in the early stages of understanding where this is and how long it might persist for.
David Smith: Appreciate the color. I'll turn it back.
Simon Johnson: Thanks, Doug.
Operator: Your next question comes from the line of Kurt Hallead of Benchmark. Please go ahead.
Kurt Hallead: Hey. Good morning, everybody. Morning, Kurt. So Simon, maybe start with you, and if it carries over to Samir, that's great too. Can you give us or can you characterize the tone and tenure of conversations that you've been having with certain clients, and with respect to their outlook for project economics? And in connection with that, there's been recent discussion from some of your peers about an acceleration in contracting activity, particularly as we get into the middle of 2025. And those are for projects that are supposed to start either 2025 and then more so in 2026 and 2027. But very much curious in terms of how you characterize the nature of the discussions and the tone and tenor related to those.
Simon Johnson: Yeah. Sure. Well, perhaps let me start and then see if Samir can get into detail. But I think an interesting feature of recent conversations and activities is that we're seeing more exploration on a relative basis. We did a bit of a straw poll recently, and around about 30% of our rigs are currently drilling exploration wells. That's a big change from recent years, and I think that's a significant factor to bake into how you might see the market going forward. The immediate outlook for 2025 is a bit cloudy. We don't know yet how long the weakness is going to persist. I believe that it's time-bound and that once we get into 2026, we'll see a rapid improvement as the deferred demand starts to intersect with a long-standing inventory of major projects that have passed FID and committed to other critical long lead items like FPSOs and trees and subsea support equipment, but where they've yet to select a rig. So, you know, that's what underpins our optimism and that of our peers. But, you know, Samir, anything to add?
Samir Ali: No. I completely agree with Simon. And I'd say, you know, as we look at the market, you're starting to see clients' FID programs for starts in 2026 and 2027. So, you know, that demand is starting to swell back up. In terms of economics, to your question, they are economic at current levels and even significantly lower oil prices, right, or commodity prices. So it's not just the economics of it, it's getting the long lead times ordered and kind of placed. So we are seeing FPSOs, flow lines, well, all the precursors to the things that a client would need to drill a well are kind of in flight now, and you're starting to see the FIDs follow it.
Kurt Hallead: Gotcha. Gotcha. Hey. And just for your reference, you know, FTI was out earlier today, and they talked about a high degree of visibility on FID for subsea projects out through 2030, which I have to imagine there's still a number of those projects that are yet to be kind of drilled or so on. So I would take that's positive commentary with respect to your business as well. Now separately for Grant, I appreciate the revenue and EBITDA guidance numbers for the year. I was hoping that you could give a little bit of color maybe around the progression, you know, first half or second half, how you would weight that dynamic and also, if you could just give us a little bit of color on your expectation for operating expenses for the year.
Grant Creed: On the timing of the EBITDA, look, we don't break it down by quarter because there are a number of factors impacting that. I would say that there's more EBITDA. I think, like, Q1, we're going to wait for a lot of the Neptune and the Polaris to come back. So Q1 perhaps slightly weaker. Q2, we've got a fuller fleet working. Then toward the end of the year, there's some uncertainty. We said in the prepared remarks Capella and Louisiana are "show me" rigs, quote unquote, and so to the extent that we pick up work there, there could be upside. If that helps you. And then, Kurt, what was the other question?
Kurt Hallead: It was just to give us a general sense of what we should be thinking in terms of operating expense on a full-year basis.
Grant Creed: Yeah. Look, I think OpEx, if you just break it down, the per day operating expenses, so it goes $150k per day across the drillship fleet. That includes OpEx overhead, but excluding SG&A overhead and excluding any sort of integrated service costs.
Kurt Hallead: Okay. Great. Thanks, guys. Appreciate it.
Simon Johnson: Thanks, Kurt.
Operator: Your next question comes from the line of Greg Lewis with BTIG. Please go ahead.
Greg Lewis: Yeah. Hi. Thank you, and good afternoon, and thanks for taking my questions. You know, Greg, I guess just following up on Kurt's question, a tough two-part question, so I apologize. As we think about the OpEx budget that you have for 2025, how should we think about a rig that maybe doesn't have a line of sight on work like the Capella, how we should think about you managing that at least in the guidance? And then on another note, it seems like other companies have, you know, have kind of looked at some of their non-core rigs and decided to retire those. You know, not that we're going to retire any rigs this year. Maybe we will, maybe we won't. But as we think about any kind of color you can give us around the non-stacked fleet, like, what's that quarterly or annual run rate on the cost of those stacked vessels?
Grant Creed: Thanks, Greg. Look, I'd say, you know, for Capella as an example, we're going to be disciplined, and to the extent we don't have clear work, we're going to stack that. And then to get to the crux of your question, stacking costs, looking at a one-off cost of circa $6 to $10 million depending on what region of the world and where it's going to be stacked, and then a run rate of approximately $5,000 per day.
Simon Johnson: In relation to the quality of the assets, Greg, what I'd say is that there's been a lot of speculation around the durability of sixth-generation rigs. And there's a broad spectrum of capability across the sixth-generation fleet. And the very best sixth-gen drillships, for example, are pretty much comparable to the latest generation, seventh-generation, drillships. So we have three units in that category, the Polaris, the Gemini, and the Capella. But they're rigs that are equipped with dual derricks, and they have room for a second BOP, can take MPD, and we have an ability to upgrade certain aspects of their dynamic positioning system as we mentioned earlier too. So, you know, I think the concern about what the future is for that class of rig is much less of a factor for our fleet than it is for some of our competitors.
Greg Lewis: Okay. Great. And then my other question was around Brazil, but maybe I'll ask it a little differently. And maybe I'm dating myself, but it's, yeah, right? I mean, I feel like we've seen this before where it seems like ANP is, I don't know what's going on, but it seems like they are being more diligent around rig working. I don't even know how to frame it. But it seems like they're looking to put rigs off hire more so than maybe they have in the last couple of years. And has there been any change we need to be aware of at ANP that maybe is driving this just simply because it does seem like, you know, and I'm delicate to the fact that I think you guys have six rigs with across Brazil and Equinor in Brazil. And but it doesn't seem like this is specific to Seadrill Limited.
Simon Johnson: No. No. So that's affecting the whole industry. There's been a handful of rigs that have been affected. You know, we obviously listen very carefully to the directions that we get from the regulator. And, you know, we've worked in a lot of regulatory regimes around the world, including highly regulated places like Norway. So, you know, we understand that their focus can shift through time. You just need to listen carefully and respond positively to that. So there has been some disruption. You know, we'll have to wait and see as to sort of what, you know, where it goes from here. But, you know, we think we have an understanding of where their focus areas are, and we're well-positioned to respond. So, you know, this is not unique to Brazil. We see it from time to time in other marketplaces as well.
Greg Lewis: Okay. Super helpful. Thank you very much.
Simon Johnson: Thanks, Greg. Have a great day.
Operator: Your next question comes from the line of Fredrik Stene of Clarkson Securities. Please go ahead.
Fredrik Stene: Hey, Simon and team. Hope you're well. Thanks for the commentary, the guidance, and also the additional color on the litigation. I think most of my questions around that have been answered already. But, you know, given the state that the industry is in right now, where there's a high degree of uncertainty around 2025 and 2026, particularly in the near term of that, you know, fleet adjustments as you've done or some of your peers have done, but also, you know, the ever-recurring question of M&A or other strategic initiatives appear equally as much knowledge as before. So I wanted to get kind of your high-level thoughts around, you know, where do you see in that landscape right now. Do you think the sell-off of broadening equities for drillers has, you know, made new rounds of transactions, you know, easier or harder to get through, and have you, you know, do you feel like you are a company that could be acquired or that's your company that could acquire someone else now that you're technically done streamlining your own fleet by selling off the non-core assets? Thanks.
Simon Johnson: Yeah. Look, obviously, we're not going to comment on anything specific to us relating to M&A. But like in abstract, what I would say is that I'm a long-standing proponent of industry consolidation. I think there are too many subscale drillers who aren't resilient enough through the business cycle. We are one of the larger guys, and, you know, we look at the impact of the revenue disruption we've experienced this quarter. So 2025 is going to be a difficult year for the industry in general. I think everyone's pretty much been impacted to roughly the same degree. But I would expect that we need a period of stability at whatever market level to allow any deal-making to take place without either party feeling disadvantaged. So, you know, that's what I'd say sort of on the M&A space generally. At the moment, everyone's focusing on running their businesses as best they can and seeking to navigate this period of uncertainty.
Fredrik Stene: Yeah. Well, that's helpful. And then one quick one turning back to Brazil and the regulators. ANP, to my understanding, had new leadership last year, and they seem to have been a bit more scrutinizing for the last six to nine months, as evident by the number of rigs that have incurred downtime on the back of that. That's again, high level, it wouldn't take even though ANP is independent, it's hard for me to envision that they can, you know, regulate the Brazilian oil industry to death. But, obviously, you know, news like this makes concerned already concerned investors even more concerned. So do you think this is ANP trying to, you know, prove a point now in the new leadership, or do you think this is the new standard that you have to adhere to on an ongoing basis? And by extension of that, CapEx requirements, you know, anything kind of changes in terms of the cost to run rigs in Brazil on the back of that?
Simon Johnson: Yeah. Well, what I'd say is that I think they're having some leadership changes, but we're still waiting for confirmation of some key positions as well that's awaiting a confirmatory hearing in the senate in Brazil, I believe. So, you know, there is still some more to come. I think until that is complete, only then will we understand what the way forward looks like. You know, at the moment, so like I said, we've just tried to work with our customers. We don't deal directly with the regulator. We stand behind our customers, and it's the customers who make the submissions to the regulator. You know, we lack a little bit of intimacy in the process, to be perfectly honest. But, you know, my feeling is that I'm hoping this is just a flurry of activity, and we'll soon, you know, everyone will understand the new areas of focus, and we'll adjust and we'll go back to operation as normal. You know, at this point, it's too early to tell.
Fredrik Stene: Yeah. I mean, that's good color in any case. I appreciate the comments, guys, and I'm good.
Simon Johnson: Thank you.
Operator: Your next question comes from the line of Ben Nolan. Please go ahead.
Ben Nolan: Yeah. I appreciate it. Maybe this is for Grant or Simon, whoever. As it relates to your buyback program, obviously, you guys have been pretty active on that. Although, here we see a share price down a good bit. And given your commentary about just sort of the outlook for 2025 and maybe even some of this litigation stuff, at this point, still a good balance sheet. Do you think about the share price as lower? Do we really double down on buying back shares? Or is there an element of this where just given the uncertainty, you need to be a little bit more cautious?
Simon Johnson: Maybe I can start at a high level, Ben, and then I'll pass to Grant. Obviously, there's a bit of uncertainty in the market, certainly through 2025. We'll see if that extends into 2026. So, you know, cash conservation is obviously at the front of our minds. That said, and as you know, the points you make, the shares are trading at very attractive levels relative to what we believe to be our intrinsic value. So we have an outstanding facility of around about $208 million for share repurchases, but we'd need to consult closely with our board before we acted given the environment. It's an active discussion through time, and, you know, we consult on a real-time basis. But perhaps, you know, Grant, you want to add some color to that.
Grant Creed: Yeah. Look. I think you got it right, Simon. I think what I'd add, you know, I've talked about our finance policy on other calls, which at a high level is, you know, sound balance, comfortable liquidity projections, and a net leverage ratio target of one times is kind of the first step in the hurdle. And then to the extent we've got cash at the bottom of the waterfall, looking at accretive CapEx and/or buybacks. What I'd say is that finance policy, the inputs that go to it are not static. They're continuously evolving, and it's a framework that we continuously check in and evaluate at regular points in time going forward.
Ben Nolan: Okay. I appreciate that. And then this is a little bit maybe bigger picture, but it seems as though we're increasingly hearing from particularly oil majors and the likes of deemphasizing some of their alternative energy policies and moving back more towards traditional oil and gas. I don't know, Simon, if you could just sort of understand that these things take time to play out, but as you are seeing the likes of, I think the most recent was BP, talking about reemphasizing traditional oil and gas. How long does that take before it drives actual business for you guys in terms of that focus? Any thoughts there?
Simon Johnson: Yeah. Look, it's difficult to know. I mean, I think the calorific value of a barrel of oil has been underappreciated of late, and it's good to see some common sense start to prevail in terms of how our principal customers are allocating capital. You know, we believe that we're seeing some of that shift in expenditure already. And it'll only intensify, you know, given the actions of people like BP here in recent days. There's also a lot of people talking about the change in the US administration. We believe that below 48 drillers are the principal immediate beneficiaries of that. But the offshore drillers, you know, are continuing to benefit from what is a much more powerful and longer-term pattern of preferential investment in deepwater reservoirs relative to land because that's where the volumes and the flow rates are. So, you know, I think it's good for our business, but in particular, the shift in investment patterns is particularly good for the offshore deepwater business.
Ben Nolan: Alright. Well, I appreciate it. Thank you.
Simon Johnson: Cheers, Ben. Thank you.
Operator: Your next question comes from the line of Noel Parks of Tuohy Brothers. Please go ahead.
Noel Parks: Hi. Good morning. Good morning. I apologize if you touched on this already, but I just wondered, you know, from the customer standpoint, it does seem that 2025 experience has made it pretty clear that in fundamental terms, they're just not afraid of kind of kicking the can down the road and coping with wherever prices might be, assuming that we have a rebounding activity end of this year, end of 2026, end of 2027. So in just discussions with them, are they simply just kind of blocking and tackling what's in front of them, or do you see any signs that, if we see, say, a trend up in day rates, that some of them might be inclined to be a little bit more aggressive on maybe a little further out contract term?
Samir Ali: Sure. This is Samir. You know, I'd say it depends on the client. Some are blocking and tackling. Some of the more nimble clients that can kind of react a little more quickly if they start seeing day rates move upward again, they've already said that they're planning to come back to market pretty quickly. So I think you have the full spectrum there of some clients absolutely blocking and tackling, some are a little more can get back to the market quickly. But I think beyond that, for us, right, as we talk to our client base, they know they need to start drilling in 2026. And back to that, you know, there are FID projects. You're seeing this upswell of demand coming in 2026 and 2027. That's layering on top of the baseline demand that we're already expecting. So you have a bit of a compounding effect that we're seeing that we're expecting to happen over the next 18 to 24 months.
Noel Parks: Great. And, you know, to Greg, it's still not huge, but there are signs of the industry dipping its toe a bit more into exploration. I'm just wondering, to the degree you talked to the people around their future planning, is there any sense that maybe customers are looking to go more top of the line with the drillships they're doing for slightly higher risk projects or attempting to be maybe a little bit more conservative and maybe not be so demanding of, you know, the latest features and so forth?
Simon Johnson: Yeah. Look, I think some good headlines on the exploration piece that ANP in Brazil recently emphasized important exploration in their new licensing round. So that was a real focus of what they were saying to people making applications. Pre-salt production in Brazil declines from 2030. So they have a lot of work to do to fill the outrage that will be created from those natural decline curves. And the reason I mention Brazil is that they, you know, obviously, the biggest player in the deepwater market. And what they're seeing, what they're experiencing is true for the IOCs and indeed the smaller players around the place. So I think one of the big issues is that the exploration departments of our principal customers take time to build, and it takes time to generate prospects. They don't have a magic filing cabinet full of information. So, you know, it does take a while for it to translate into activity, but we are starting to see that, as I mentioned, a much larger proportion of our red fleet now engaged in exploratory work than we've certainly seen over the last ten years. So, you know, we're quite happy. We think that's an important theme. And, again, it's one of these many factors that underpins our optimism about the market, notwithstanding that, you know, 2025 is going to be a bit of a tricky year.
Noel Parks: Great. Thanks a lot for this perspective.
Simon Johnson: Pleasure. Thank you. Thanks for the question.
Operator: Next question comes from the line of Josh Jayne of Daniel Energy Partners. Please go ahead.
Josh Jayne: Thanks. Good morning. I just really had one company-specific question that I wanted to dive into. So when you look back at 2024 in totality, you guys executed on a number of initiatives just between the asset sales, simplifying the structure of the company, bought back a lot of stock. Like, obviously, the answer would be, you know, everyone wants to contract more rigs and drilling days, but maybe just as you look into 2025, what are the other main things that you're focused on internally as a company on executing this year to best position the company going forward?
Simon Johnson: Yeah. Well, I think the number one priority at Seadrill Limited is always improving our safety performance. We had a pleasing turnaround year in 2024 there, but there's much more work to be done. So there's a lot of energy in the organization from the top to the coal face on how we might improve outcomes in that really important aspect of our business. So that's a focus area. Obviously, we haven't got off to the best start in terms of our revenue performance. So with that, we need to keep a laser-like focus on the cost base. So we have a number of initiatives that we're looking at across the business to continually adjust and improve what we do on the cost side. A number of projects in a range of areas. I think the people who've been in the industry a long time, one thing that you never lose sight of is the importance of being a low-cost operator. Unfortunately, the industry has had a dubious history of not doing so well in that regard as the revenue side of things improves. That's not going to be the case at Seadrill Limited. So we're committed to having an agile, efficient organization, and we've got a lot of projects that we're looking at right now that we believe can materially improve the cost base from where it is today.
Josh Jayne: Thank you very much. I'll turn it back.
Simon Johnson: Thanks, Josh.
Operator: Your next question comes in.
Josh Jayne: See, what is the true possibility of the Capella and Vela being recontracted this year? And specific to Capella, when would you think that you would make a decision to stack it for the time being?
Samir Ali: Sure. I'd say, you know, if we look at the Capella, you know, in my remarks, I mentioned we are chasing multiple opportunities that start in the middle of this year to late or second half of this year. So, you know, we are still chasing those. If we don't see a clear line of sight of being able to achieve one of those, I think we will take the steps necessary to stack the rig. So, you know, it is an evolving situation, but it's not going to take us months or quarters to figure out. We're going to figure that out here in the next, you know, weeks to days. So that is already happening. In terms of the Vela, you know, we were able to add 40 days on the existing program, which is, you know, a great achievement. We were able to conquer that well pretty quickly. So, you know, it gave us the ability to add more term at a very good rate. So, you know, given that performance, we do think that we can continue to market that rig in the Gulf, and we're already in active dialogue on additional work for that rig.
Josh Jayne: Okay. And then my last question was just on the Carina in Brazil. This one did not get an extension. Is there anything specific to that rig that there was a reason, or is that related to your ongoing, you know, I'll call it dispute with Petrobras for, you know, what happened years ago?
Samir Ali: No relation whatsoever to what's going on with the dispute with Petrobras. That rig, you know, Petrobras only took two rigs in that lot, and so we won those two rigs in various lots. So for us, you know, we are still looking at other clients potentially in Brazil. Petrobras is obviously an option to keep the rig working. We do, but beyond Petrobras, you have other clients, and we do have some short, you know, one well, two well opportunities to fill gaps in Brazil. We're not limiting ourselves just to the Brazilian market with the Carina. Right? She is a true seventh-generation rig. She's capable of activity, you know, able to take two BOPs on. So we have the ability and the flexibility to market that rig wherever we want in the world.
Josh Jayne: Okay. Thank you.
Samir Ali: Thanks.
Operator: There are no further questions at this time. With that, ladies and gentlemen, that concludes your conference call. We thank you for participating and ask that you please disconnect your lines.